Brian Cassin: All right. I've been given the thumbs up here, so let's make a start. So good morning, everybody, and welcome to Experian's Full Year Results. I'd say FY '17 was a good year of progress for Experian. We delivered organic revenue growth in our target range and we see some significant improvements across many areas of our business. And importantly, we also made some very good strategic progress. And as we look ahead from here, we see a lot of opportunity for our business, both in our traditional markets and in new customer segments. This morning, I'm going to give you a brief recap on the FY '17 results. Lloyd's going to take you through that in a lot more detail. I'm also going to give you an update on the progress we're making against our strategic and operating objectives. And we're going to give you a little bit more insight in some of the opportunities that we're working on and we think will drive our growth going forward. So okay, let's start with the highlights. Organic revenue growth was in the mid-single-digit range, and that is the target that we set ourselves a few years back. And I think the important point here is the quality of that growth is actually improving, with 2/3 of our business now growing at over 5%, and that compares to about 1/3 three years ago. And we're seeing much more consistent growth across each one of our regions and across much larger part of our portfolio. Now why this is really evidence is if you look at the B2B performance, we grew 7% organically this year. And that's really started to reflect some of the changes and some of the investments that we've made over the last few years. Our aspirations are that the whole business can perform at that level and higher. Consumer Services is obviously still the business that's still in transition, but we are making progress and, to reposition this business both in the U.S. and the U.K. And we know we have to do here, the key in the Consumer Services business is to generate large audiences, to give us a chance to drive material new revenue streams. And we're well underway to doing that in the U.K. and the U.S. But it's not just about U.K. and the U.S. anymore, we're also expanding into Brazil. And we're also going to look at other global opportunities for that business. FY '17 saw us complete the restructuring of our Marketing Services portfolio. This is now, our business is now much tighter, more coherent. And we're now much more focused on the businesses where we are the market leader or where we can be the market leader and where we can win. Most of our investments now are focused on core opportunities within the business. And they're really designed to drive organic growth and will also, as we look forward, look at selected inorganic opportunities. In FY '17, we also returned $700 million to shareholders through dividends and buybacks. Today, we announced another buyback of $600 million, which will also recycle the proceeds from the disposal of the CCM business. And that really continues our disciplined focus on capital allocation. We also raised the dividend by 4%. Now as I said, Lloyd will take you through the details, but just a few highlights for me. I mentioned organic growth was 5% after adjusting for CCM. Our EBIT margins were up 60 basis points and Benchmark EPS growth was 5%. Cash flow was again strong with a conversion rate of 96%. Lots of been in the regions but just a few highlights. North America, the B2B business was very strong, and we also had very significant margin improvements. Star performances were Credit Services and Marketing Services. It's been a while since I've been able to say that, Marketing Services had a great year. And we have a lot of initiatives actually in-flight in the region which were driving that. Last time we were here in November, I mentioned decisioning as a service. That's actually over $100 million business and growing very fast. And we also talked about a new product that we introduced called digital credit marketing, and that's what we think is a potentially big opportunity which is beginning to scale now. So a lot of promise and the initiatives that we have in-flight there. We saw great growth in business information and health. Growth really being driven by not just further penetration of existing clients but also a lot of new client additions. And as I said, Marketing Services has performed really well. That business, as you know, we put it through a very significant transformation that's really paying off in the growth rates that you're seeing and are targeting our data quality business. So in Consumer Services, our free membership base is scaling well. We're now at over 9 million customers. And we're adding around about 0.5 million customers every month and I'll come on to discuss this business in a bit more detail shortly. Latin America's performed extremely well over the last few years. And when we consider the economic backdrop in Brazil, I think the business, the performance of that business has been really outstanding. And we have just been, I think, putting up good numbers in Brazil. We've been doing a lot of work to position that business strategically well for the future. And we ended the year very strongly. We built on our leadership position in B2B. We actually signed new multiyear agreements with several of the major Brazilian banks. And our sales pipeline is expanding, both in size and quality of opportunity. And we still see tremendous growth potential in the region. Proposed regulatory change is going to drive some of that, positive data. But I think we also have an improving economy compared to some of the years when we've been talking about the prospects for our business there. The operating environment is starting to produce some new opportunities for us, so we believe that we can sustain and hopefully improve our growth in Brazil as we go forward. And we're very excited about the first step we've taken in Consumer Services in Brazil, the introduction of the free Serasa Score. And so what we're going to be doing is driving that business forward and introducing lead generation and other services over the coming year. Turning now to the UK. The B2B operations delivered robust growth. And really, in this market, it's kind of the breadth of our capability that's driving opportunities for us. It's very significant and we're leveraging on it. I think it was one of the best examples we have of how One Experian can drive growth for us as a business. And we have a lot of capabilities that set us apart like credit prequalification, new customer deployments for ExPIN, which is our unique bureau pinning technology. And we've had first wins for our CrossCore, our fraud prevention platform. And also, Pandora, not a product that we have talked about a whole lot. It's in our data quality business, and that's actually going to be a very important product for us as the new GDPR regulation start to roll out over the next year. Consumer Services is obviously the one area of decline. And as you all know, this business is going through and its market is going through some fundamental change and we are adapting our business to this. And we took a number of important steps in this transition during the year. We're proliferating access to the Experian score and we're using that to build direct consumer relationships. And in just over 6 months where we've been focusing on this, we've built a free membership base of over 1.7 million members. So I think that shows that we can generate traffic and we can build those relationships. CreditMatcher, which is our price comparison service in the UK, is actually growing strongly. It is off a small base but we're seeing very good traction on that. And we're also expanding into new verticals such as energy switching, and you're going to see us do more of that as we go through the year. It is going to take some time for these initiatives to be big enough to offset the subscription declines that we're seeing, and we do expect that it's going to be into next year before we get that business back into growth. Asia Pacific. EMEA/Asia Pacific is another region that we've seen dramatic improvements over the last three years. And if you go back to 2014 and before that, you will have seen these businesses were actually a drag on our growth and now they're a material contributor. And the disposal of the CCM business line, these regions are now really focused on our core credit and Decision Analytics business and some data businesses. And we're really winning a lot of new business in these marketplaces, seeing significant growth in places like Australia and India, particularly with PowerCurve. And very importantly, we ended the year with good momentum in both of these regions. And we're making significant progress towards turning that region into a profitable region for us. Okay, so we finished the region around the world. I want to take a step back for a moment and just remind you of a slide that we put up first time in November 2014. And this is where we set out five components that we're going to focus on to turn our business around and to really move our business forward. And I think we're happy to say we can tick many of those boxes. We've simplified the portfolio. We're now more focused on our core data, analytics and software businesses. And importantly, these are all in areas where we are the other market leader or we're the number two or we can be the market leader. Overall, growth has returned to our target range, and we have a lot of initiatives which is going to sustain and hopefully increase that growth. And we are executing on a strategic repositioning of our relationship with consumers. And that is taking time, will take time, but we're making a lot of substantial progress. We haven't talked about this a lot, but we have also driven really significant efficiency savings in our business. And that's given us the flexibility to invest as well as to cope with the Consumer Services transition that we've experienced. And the level of innovation in the business has really increased substantially and I'm going to give you some examples of that. And you've also seen us take a rigorous approach to capital allocation. We're very focused on value creation in everything that we do. Now a lot of our investments over the last few years has been focused on enhancing what we call foundations of our business to drive operational excellence. We haven't talked about this a lot, we've been focused mostly on what's happening in Consumer Services, Marketing Services, Brazil and others. But behind the scenes, we've been really re-architecting the whole business. We're transforming our technology. We're moving to open systems, cloud computing. And this is going to give us greater speed, accuracy and flexibility in ingesting and handling data. And ultimately, this is going to lead to lower technology costs and free up additional funds for reinvestment back in the business. We've moved to agile development and that's accelerating our pace of innovation, improving our time to market and allowing us to come up with better products and better solutions for our clients. And we're also thinking about how our clients want to engage with us with greater flexibility. And we're giving them access to our data through their preferred format, which is through our API hub. And we're also investing in a lot of areas in the business that don't get a lot of headlines. For example, we transformed our call centers. We're setting new standards in customer service. And we're investing in our people with new training and development programs. And none of this sort of reads as exciting, but these are areas that lead to absolute improvements in our business in client retention, employee retention, and ultimately, they lead to higher revenue and lower operating costs. So the sum of all of that is that over the last three years, we've been doing a lot of things. We've also been investing foundations in this business to make us really more nimble, more innovative and to start to unlock the power of the franchise that we have, both from a geographical and from a breadth of product perspective. So what are we focused on to drive our business forward from here? Well, our prime focus is going to be to build on the strong foundations that we've laid for the business. First point, data, lifeblood of this business and it's going to be a big focus for us going forward, broadening and deepening our data assets globally, and where it makes sense and we can own the data, we will. But we're also going to gain access to new sources of data through a range of investments and partnerships. Secondly, our analytical and decisioning software solutions. Today, they're the best in class in the world. We're the world leader in advance decisioning for large-scale financial services applications. And we're investing heavily to extend that lead and to use these capabilities to develop better solutions and to give us more applications for them. You've also heard me talk on many occasions about One Experian, realize that you hear people say stuff like that very often, but let me explain why this is actually important for us and why it makes a real difference, because it plays exactly to the trends and the strategic needs of our customers. The market and our clients need better, faster solutions that simplify their operations, lower their costs while improving their decision-making. And they actually all need fewer vendors to do that for them and who can integrate multiple pieces of technology stacks for them. And that is where the breadth of our capabilities really give us an advantage. In the past, we haven't always maximized this because we've gone to market with separate business units and this has sometimes been a bit confusing for our clients. And it meant that sometimes we could be competed on product by product and on price. And so the more that we can provide integrated solutions and seamless products, the better it is for our clients, the more growth opportunities that we have and the harder it is to compete against us. So as we look at the growth opportunities going forward, we also see significant potential in scaling the targeted verticals where we've done very well in the past. And we see a lot of growth opportunity in our key geographies by building the portfolio with a mixture of new products, near-term and long-term growth opportunities. And in our B2C business, we're transforming that business. Probably the best way to describe that is to think of what we used to do in that business. We simply provide consumers with access to their credit reports and scores for a fee. And what you're actually seeing us migrate that to is to transition this business to a consumer engagement model where the revenue streams are going to come from many sources. And in time, importantly, consumer contributed data becomes an important asset for Experian to use across its whole enterprise. So let's move onto our Consumer Services business. The business today in the U.S. is already very different from the business of a few years ago. And FY '18 is going to see another significant shift as we introduce some major new products in price comparison and identity services. Two weeks ago, we launched our lead generation service in select markets. This is not a new market. We know there are established players, but the combined size of that market is well in excess of $1 billion annually. And we know that to make a difference, we were going to have to do a few things differently. We needed a differentiated product and we also need to be able to explain that product to consumers. And I'm glad to say that our product is significantly different and significantly better than any of the propositions that are in the marketplace today. We're using a free FICO score to draw traffic to the sites. We'll convert that traffic by providing consumers with advice about which best -- credit products best fit their profiles. And what makes this different is a few things. First, we're putting consumers' interest first. We serve up the best offer, not the best offer that pays us the highest price, that's not always what happens in the marketplace today. And the second most important feature relates to a point that I made a moment ago about integrating our capabilities and how that can give us a competitive advantage and this is a really great example. Our data, our analytics, our decisioning software give us the ability to prescreen consumers against lenders' exact lending criteria. When I said exact and I mean exact. Because our relationships with our B2B customers mean that they trust us with that most sensitive information. So what we do is we apply a lender's actual credit criteria to our data, our analytics and process it through our PowerCurve software and we make a preapproved credit decision on behalf of the B2B client. This is absolutely unique in the marketplace. And what does that do? It's a much better process because it eliminates wasted time and effort. It results in higher conversion rates and eliminates potential consumer frustration from being denied credit several steps through the process. So this is going to change the lead generation space. Our clients and consumers are responding well to this, and I think it's a win for everybody. We've already signed a lot of agreements with many major lenders, and we've launched LendingWorks with over 200 credit card and personal loan products. And our panel is already on a par with anything else which is out there in the marketplace. And we're adding new lenders every week. Now the early results from this are encouraging. Our beta clients were reporting conversion rates much as double of that they're experiencing elsewhere in the marketplace, so I think that's a strong indication of the strength of the product. So the second major product launch is identity protection, another big opportunity in the U.S. marketplace for us. And this week, we've launched nationwide our new identity protection product called IdentityWorks, and this is actually built on the backbone of the CSIdentity acquisition that we made about one year ago. Just a couple of facts. In 2016, the occurrence of identity theft in the U.S. grew by 16% and we estimate that about 1/3 of the U.S. population could be interested in tracking and monitoring their identity. Now once again, we know that to win, our product offering has to be better than the existing offerings and it is. IdentityWorks combines the best-in-class features from Experian and CSID and it's a much better product with more features at a lower price point than any other offering in the marketplace today. Now I'm just going to show you briefly the ad that we're running on the identity product. [Audio/Video Presentation]
Brian Cassin: Okay. So we're up and running with the two major new consumer offerings to address the needs of 2 large and growing markets, lead gen and identity protection. The products are great and they're going to get better as we add more lenders, more features, more partners throughout the year, and we do expect revenue to ramp from these offerings. Of course, the extent to which it does really depends on consumer response, always the most difficult thing to judge. These things are in market this week, so we're going to measure it and judge that as we go through the next few months. Innovation. Innovation in our B2B business has grown really significantly over the last few years. Important for us to make this point, as I said, we've been focused on all the things that we've had to do to turn some of our businesses around. We haven't lost sight of the agenda here, and actually, I think we've made fantastic progress. Where we've been focused on are areas that add a few features. One, they have global application; two, where possible, they link to a variety of Experian assets; and most importantly, of course, they address the key issues for our clients. And that's what's going to give us scale to -- the opportunity to scale these opportunities and make them more difficult to replicate. Now some of the market drivers we've talked about before but include the need to continuously evolve in the digital world, make decisions on millions of consumers in real time and make that interaction with them as seamless as possible, and at the same time, manage fraud risk and authenticate people and the need to know who your customer is, making sense of all the data that you have both externally and inside your organization. Now needs like these play really to Experian's strength. They rely on handling vast quantities of data, segmenting, analyzing it and using the latest technology to do that as efficiently as possible. And the initiatives that you see in the right-hand side of the slide are really just representative of what we've actually accomplished in our B2B businesses to date and we do expect that some of these will contribute materially to our growth over the next 12 to 18 months and we do expect to continue with this agenda. Now let me pick out just a couple of examples to give you a better context. Last November, we talked about digital credit marketing, where I think we're reinventing how some of our clients prospect and acquire new customers. We've made a lot of progress understanding and on-boarding major credit issuers and we do have a large and expanding pipeline of opportunities for this. Now customer authentication and compliance issues have always held some of our clients back from online marketing. And we have solved these issues and clients can now make a preapproved offer credit via e-mail and retarget that through social media and online advertising. And this is really important because segments like millennials, they only really respond to online marketing. So it's crucial to future growth. We're actually now taking that a step further, introducing what we call mobile instant credit, and this is an innovation which came out of our data labs. And this product uses geopositioning and device identification, which is then tied to identity and credit information. And we deliver real-time offers of credit to a mobile device. And let me give you an example of an application for this. So imagine that you're in a car dealership. As soon the customer comes into car dealership, we can identify that customer to a sufficient level to make a firm offer of credit to their mobile phone. Consumer has to do very little. Text will come through, say you're prequalified for a loan, whatever the amount is. And when the consumer presents their preapproved offer to the dealer, they also have the information. The salesman can then target his efforts more effectively on the product, not on the credit. And he will also be able to seamlessly comply with regulations about assessing affordability. So this is a totally new and highly convenient product offering for both the consumer, the auto dealer and the lender. Right now, we are in negotiations with a few automotive manufacturers to pilot this scheme. Once you establish proof of concept, our plan is to roll out nationwide in the U.S. And we see global application for this product. And we're going to extend it to other clients, other verticals, other geographies, and we're going to do that as quickly as we can. We think this is a really big opportunity for us. Now another example is PowerCurve collections. You heard us talk about PowerCurve a lot over the last few years. We just launched in April our new suite, which takes us to the other end of the credit cycle where we're helping clients manage risk, collect past due accounts where credit quality deteriorates. Now PowerCurve, as is our flagship credit risk management project, our product decision engine which is installed at over 200 clients worldwide. And it's the recognized global industry leader. I don't think we often talk about just how great these products are, and I'll give you a little snippet of it. I was in Asia recently and talking to a client that recently installed PowerCurve. And they were telling me that with this software suite, they make 100 million decisions on their consumer portfolio every day. And these are not decisions like if you bought this product, you might like this also. These are decisions around credit limit, the cost of credit, compliance with regulations and compliance to capital adequacy requirements. So they're fundamentally important decisions. They have to be right because they go to the bedrock of profitability for our clients. Now as this graphic shows, launch of our collections module completes the entire life cycle modernization of our software products. And we can now offer an integrated solution from strategy management and planning, new account originations, cap management, now collections. And we are actually seeing great cross sell potential from clients that have installed one module, who are now interested in pulling all of that together. Another really important development in our software business is that we've embarked on SaaS enabling the entirety of our software PowerCurve suite. Now SaaS enabling is going to allow us to be more cost effective, quicker deployments of our capabilities. And very importantly, it's going to open up Tier 2 and Tier 3 markets for us. And traditionally, PowerCurve has been focused on Tier 1 markets. It's traditionally been a hosted decision. It's a very complex system, takes a long time to implement and it's expensive. And so typically, it's only the larger organizations that can really access that capability. What SaaS will do is broaden that capability to a much wider audience. So that's exciting, and that's what we're going to be working on over the coming year. Now collections itself is a large global opportunity being driven by the need to automate and streamline collections, make it a better experience for lender and their customers, a big regulatory pressure on the experience that lenders put through -- put their customers through when collections become an issue. And so the banking sector alone is close to $0.5 billion market and there are lots of other industry segments to which these systems apply such as telcos, utilities being good examples. We've already signed a Tier 1 bank in Australia as an early adopter on a multiyear deal. Actually, that's a good example. That Tier 1 bank recently implemented a PowerCurve suite for originations and so the collections followed on pretty quickly. And we have a growing pipeline and great engagement across all of our regions. So these are just a few examples of innovations which are building and are scaling, and we have great expectations for over the coming years. It already has fueled faster growth in our B2B business and our expectation is that we're going to see a similar impact to B2C as we move forward and it's key to underpinning our ambition to deliver premium growth for our business on a sustained basis. Okay, so to summarize before I hand over to Lloyd for the financials. I think we've made great progress executing on our strategy, delivering organic revenue growth within our target range and good growth in earnings. The B2B business, as you can see, is growing very strongly and we're taking some really important steps in Consumer Services. And we put a lot of investment back into fundamentals to really build powerful base for our business. We're taking the next step to evolve, capitalize on some of the major opportunities that we see, adding new sources of data, bringing unique offers for consumers and accelerating the pace of product innovation across the entirety of our business. And I think that sets us up really for good growth in the future and an exciting prospect for Experian going forward. So with that, let me hand you over to Lloyd.
Lloyd Pitchford: Thanks, Brian. Good morning, everyone. I'll start with some introductory comments on the financial results for FY '17. As Brian outlined, we grew consistently within our target mid-single-digit range and made good progress across our strategic and financial objectives during the year. As you know, we announced an agreement to divest 75% of the e-mail cross-channel marketing business, resulting in net cash proceeds of around $200 million, after estimated tax and completion cost. And the agreement to sell the cross-channel marketing business was signed on the last day of the year. So we've, therefore, classified the business as a discontinued operation and removed it from our reported Benchmark financials. On completion of the transaction in the current year, our 25% stake in CCM will be treated as an associate with our share of profit after tax included in our Benchmark EBIT. And we'll also record a $75 million loan note as a financial asset. So given the change in the financial results with the carve-out of the CCM business, let me start with the reconciliation of the results we presented today, so you got a clear basis for the rest of the presentation. On the slide here in the left-hand corner, you can see the Benchmark financial metrics as reported. These exclude our discontinued operations across the CCM business and represent our continuing operations into FY '18. In the middle column, you can see clearly the effects of the disposal. And these are summarized on the top of the second page of the release you've seen this morning. The impact on the key metrics for the year was to add 40 basis points to organic revenue growth and 70 basis points to overall EBIT margin. Including the cross-channel marketing business, our EBIT margin was unchanged at constant currency for the year as a whole. And you recall that's in line with the guidance we issued at the start of the year. So for the remainder of the presentation, my comments will be related to the financial results of the group on its ongoing operations, so excluding the CCM business. So turning to the financial highlights, total constant currency revenue growth was 6% and 4% after the foreign exchange headwinds. Organic growth was 5%. The Benchmark EBIT margin increased by 60 basis points, of which 30 was FX related. And Benchmark EPS grew by 5%. As Brian mentioned, it was another strong year for cash generation, with operating cash conversion 96%. And finally, the dividend has been increased by 4% and to which at today's FX rates, represents an increase of around 9% for anybody who receives their dividends in sterling. Looking at the trends in revenue growth for the year, first half organic revenue growth was 5%, with 4% in the second half as we lap some strong comparatives in a number of the businesses. And on the right-hand chart, you can see the growth across our B2B activities, which has been strong for the year at 7%. And we achieved mid- to high single-digit growth in each of Credit Services, Decision Analytics and Marketing Services. Looking at the revenue progression for the year. Here you can see, after excluding CCM, revenue in the prior year was $4,164 million as a base. All regions then contributed to growth in the year, with particularly strong growth in Latin America and EMEA and Asia Pacific and 6% total revenue growth for the group as a whole. And after the foreign exchange headwinds, our reported revenue was $4,335 million. Looking a little at the portfolio. This slide shows the strength of the B2B business that we've talked about earlier with strong growth across Decision Analytics, our larger Credit Services markets and a significant growth now coming through from the now focused Marketing Services business. On the left, you can see the Consumer Business, which remains in transition with the significant launches that you saw a moment ago now underway. And this slide highlights the point Brian made earlier, 2/3 of the portfolio is growing mid- to high single digit organically, up from around 1/3 just a few years ago. Turning to the key margin drivers. If we restate the prior year for the divestment, EBIT margin was 27.1%. And as you can see, we then delivered good margin progression in North America during the year, benefiting from positive operating leverage and some tight cost control. EMEA/Asia Pacific, the region is improving rapidly and will move into profitability in the year ahead. As we highlighted at the half year, margins in Latin America reflected the investment we've been making in the consumer proposition and also the move of a number of our operations out of São Paulo into São Carlos, whilst the U.K. margin reflected the continued transition in the Consumer Services business. So finally, with overall FX benefit of 30 basis points, the reported margin was 27.7%, up 60 basis points overall. Looking now into the regions and starting with North America, where we delivered total revenue growth of 7% and organic growth of 5%. Credit Services grew strongly, up 8% organically with growth across all areas. We had strength in credit prospecting and acquisition across both consumer and business information with some slowing in auto. Health also continues to grow strongly in the mid-teens. In Decision Analytics, new business wins and strength in scoring and analytics was offset by the nonrenewal of a customer contract that we talked about earlier in the year. Growth in Marketing Services reflected the growing position we're establishing in digital advertising. And combining these positions together, we had 8% growth across our North American B2B operations. In Consumer Services, total revenue growth was 6% and organic revenue was down 2%. As you've seen, we're now launching at scale in Q1 on the offers Brian outlined, and looking ahead, there are clearly a range of outcomes this year as we see how quickly those new markets, new services gain traction in the market. In Latin America, we had a really strong finish to the year with 12% organic growth in Q4, bringing the full year average to 9% and great result given the economic backdrop that we see in Brazil. Growth in Credit Services of 6% was driven by both consumer and business information with continued strength in countercyclical products, a strong new business performance and double-digit organic growth in Q4. Spanish Latin America also contributed strongly, while Decision Analytics and Marketing Services continue to benefit from the increased market adoption across the region as we pursue that strategy of diversification in Latin America that we outlined a couple of years ago. Moving to the U.K. and Ireland. Organic revenue growth was 1%. Credit Services growth was 3% as we lapped a strong comparative in Q4. In Decision Analytics, organic growth was 5% with strong demand for decisioning and fraud prevention software. Marketing Services grew 5%, good growth in targeting through some of the digital marketing tools. And that bought a solid performance across our B2B portfolio in the UK and Ireland at 4%. Revenue declined 9% in Consumer Services, including an organic decline of 15% in Q4 as we introduce the free score offer and continue to execute on the strategic transitioning of the business. And looking ahead, we anticipate the decline overall in Consumer Services during FY'18 moderating as we progress through the second half and lap the launch of the free service and free proposition that we had in FY'17 and on the back of new services we'll launch this year. As you've seen, EMEA/Asia Pacific performed strongly, up 9% in the year and a strong finish to the year. Credit Services was 3% lower due to headwinds in the Nordics and South Africa, partly offset by strong performance in our bureau in Asia Pacific and Southern Europe. Decision Analytics had another great year, up 21%, reflecting new client wins and generally a very strong demand for decisioning and fraud prevention software. Marketing Services also performed strongly, up 16% with good growth in data quality and targeting. Bringing all that together in our Benchmark EPS bridge, FY'16 Benchmark EPS restated for the divestment was $0.844. Growth in Benchmark EBIT from ongoing activities at constant currency was 7%, reflecting good organic growth performance we've seen in our numbers. And this translated into a 7% EPS growth at constant currency before the effect of our FY'16 disposals. Interest expense increased marginally to $75 million at constant currency and the tax rate increased to 26.2%, reflecting the geographic mix of profits during the year. And we saw our benefit from the share purchase program with the weighted average number of shares now at 940 million for the year. And after the impact of FX and those FY'16 disposals growth in Benchmark, our reported EPS was 5%. If we look at our statutory results, there were no exceptional items in the year. And the only material movement was in noncash remeasurements, which relates to the currency effects of intra-group funding. We had a $21 million negative contribution in FY'16 and that turned into a $67 million positive contribution this year, principally driven by improvements in the Brazilian real exchange rate. And taking these items in the acquisition and integrating costs into account, statutory PBT was $1,071 million. On to cash. Another strong year with 96% conversion Benchmark EBIT into operating cash and $114 million of operating cash, $933 million of free cash flow, which represented 112% conversion of Benchmark earnings to cash. Looking at our capital framework, our capital allocation, which continues to reflect the framework that we outlined a couple of years ago. We've invested organically across a broad range of growth and innovation initiatives, which you've seen in Brian's presentation. We completed the CSIdentity transaction, and this year, made a number of minority investments in a number of early stage companies. As already discussed, we signed an agreement to divest the 75% of the cross channel marketing business. We've raised dividend by 4% to $0.415 per share and we completed during the year $353 million of the share repurchase program that we outlined the previous year. And today, we have announced the $600 million share repurchase program for the year ahead. And that recycles the disposal proceeds that we've talked about with our CCM disposal and continues to apply the core principles of our disciplined financial framework. And of the $600 million, around 90% we would expect to be accretive. Turning to the balance sheet, we ended the year with net debt of $3.2 billion, up $150 million from the prior year. And after generating free cash flow of $933 million, and taking account of acquisitions, net share repurchases, we have net debt to EBITDA at year end of 2.1 times, at the low end of our target range. Turning now to some modeling considerations. We expect net interest for FY '18 to be in the range of $80 million to $85 million inclusive of the share buyback announced today and the expected interest income on the lower end note from the CCM business post completion. The Benchmark tax rate is expected to be between 26% and 27%, reflecting the mix of profits in the group. As a reminder, the cash tax rate will trend upwards towards the P&L rate over the next few years. And for FY '18, we expect the cash tax rate to be in the mid teens range. Looking at FX, if recent rates prevail, finally, we expect foreign exchange to be neutral to our results for the year ahead on revenue and EBIT level. And we expect CapEx to continue to be in our 8% to 9% guidance range. And taking account of the share repurchase program that we announced today, we'd expect the weighted average number of shares to be in the range of 920 million for the year ahead. So to summarize, we've delivered good financial results and strategic progress in FY '17. At constant FX, we delivered good organic revenue growth with good operating margins, and we've been disciplined in our capital allocation, focusing on investments in high return growth and capital returns to shareholders. For FY '18, we expect group organic revenue growth for the year to be in the mid single digit range, and [related] to the second half of the year. We expect to deliver stable margins as we invest for growth in our key strategic and innovation initiatives. And we expect good progress in Benchmark earnings per share. And we'll continue to apply our capital framework and execute on our strategic initiatives to drive our long-term shareholder value creation. So with that, I'll hand you back to Brian.
Brian Cassin: Thanks, Lloyd. Just looking at the slide up here, looks like I've been demoted, I think I'm CFO again. Unfortunately, Lloyd, that's means you've been fired. Okay, well, thank you all for listening to the presentation. And I think I hope that you've got a sense from us today that we see a lot of opportunity across our business, particularly the B2B, which is really sort of enacting in our business today with strong organic revenue growth opportunities. We see there really are the changes in the marketplace, more data, the requirement to deal that in a regulatory compliant way, handle vast amounts of data, and make sense of it all, all of which play really to the core strengths of Experian's products and capabilities. I hope you'll agree also that, you've seen that we've significantly changed a lot of our business, and with many areas of investment that we haven't actually taken the time to talk to you about, because we've been focused on other things, but we've been focused on all of it, and particularly the foundations for our business, increasing the pace of innovation, and really starting to focus our business on what's next for our clients and where the market opportunities are. And so we see that really as an exciting prospect for our business going forward, the opportunity to create deeper, stronger relationships with our clients, more products and services, the opportunity to build significant and large-scale customer -- consumer relationships, and to address new revenue streams from those relationships. And the opportunity to actually tie all that together to scale our business, both from a geographic and from a vertical perspective, and really, a number of ways that's we see these trends applying out to the benefit of Experian. And so I think that gives us a great opportunity to go forward, an opportunity to sustain, not only just sustain the growth rates we're seeing, our ambitions are for higher growth rates, and we're going to be investing to really drive that forward. And the pace has changed in Consumer Services, it's accelerating and will accelerate through the year as we roll out new consumer offers, we're going to have a better understanding of what the market perception is over the next few months. Right now, what we can say is our product offers are distinct, competitively distinct, they're the best products in the marketplace and very attractively priced. And so as we look forward, the outlook that we're giving remains the same. We continue to target mid-single-digit organic revenue growth, and generate double-digit EPS through business performance and capital allocation. So thank you for listening to the presentation today. I would now like to invite Kerry to the stage and we will be happy to take your questions.
A - Brian Cassin: Let's start over here, Ed.
Ed Steele: Ed Steele from Citi. Just three questions. First of all, on Brazil, the kind of one-off cost drags that have held margins back this year. What's the time frame on those backing out, please? And give here a bit of tailwind rather than headwind? Secondly and thirdly, a couple of questions on North American Consumer Services, with the FICO score being now embedded in the lead gen offering, how distinct you feel the proposition is in the subscription model in comparison? And do you feel that's sufficiently differentiated at this point? And finally, do you have a feel now for the mature margin prospects for the lead gen business model in Consumer Services relative to the subscription model? Do you think that mid-20s is the right, sort of the, mature margin, please?
Brian Cassin: Okay. Well, let's deal with the Brazil one-off cost drags. Lloyd, do you want to take that?
Lloyd Pitchford: Yes, you saw a distinct change in margin position first half versus second half, we had more of the investment in the first half. We are actually embarking on a further stage of developments there, so more of an expansion in the [indiscernible] facility, so there'll be some more investment in the year ahead but not at the scale that we've seen in the last year. So we'd expect margins, I think, to hold firm and possibly move ahead a little bit.
Brian Cassin: And on the FICO score, Kerry, do you want to comment on that?
Kerry Williams: Sure, so the subscription differentiation with the FICO score, it certainly helps. But I think what you are seeing is on our go-forward look, we have other areas of focus in the business, such as the IdentityWorks or the LendingWorks products that we're moving out. So it is having a definite positive improvement in the subscription model. But it's not one where we think that it's going to be able to do more than keep that business kind of trading where it's at today, than these other business where it's today.
Brian Cassin: Yes, and on the margin prospects?
Lloyd Pitchford: Yes, I think there are clearly a range of outcomes on where the Consumer Services business will ultimately trade. I think we need also to remember that our consumer business is about reinforcing our engagement with consumer but actually supports our core business. But somewhere in the low to mid-20s is where we model today.
Brian Cassin: Okay. [indiscernible] there. Can I just ask you to keep it to two questions to give everybody a chance so with that.
George Gregory: George Gregory from Exane BNP Paribas. So following up a little bit on Ed's question. Firstly, just on LendingWorks and the differentiation there. I believe that Credit Karma has access to Equifax' analytics platform, and I presume also to that of TransUnion although I don't have the details. I guess I'm just wondering whether that ability to undertake analytics is part of those agreements, a catching up with what you as an analytics business can offer? And secondly, on the lead, on the lead generation business as a whole, clearly, it's an area that you've struggled in the past to make margin that you would have liked to have done. I suppose, what's changed in your view of this segment over the course of the last five years that's given you the confidence to move more meaningfully into that rather than, sort of focusing on your, sort of core skill set of analytics, and then driving growth that way?
Brian Cassin: So just in terms of the product offering, I think this is really an example of where are the capabilities of our organization, and you can have hundreds, probably close to a thousand testimonies of this about the combination of our data analytics, and our decision in software, which is the real advantage because what we are able to do is actually load up lenders' lending criteria. They're not going to give out their lending criteria to a lot of different players in the marketplace. Some may, some may not. But they trust us with that, but they trust us that we can actually make the decisions for them. I can't comment on what other people are doing. What I can tell you is that this proposition is far superior to anything which is available today. Who knows what other people catch up. But we're doing what we think is the right thing, and we think this is a market-leading proposition. And on the lead generation point, frankly, none of us were here five years ago. And so, and I think what we're talking about here is a market that has changed substantially since then. And I think what we are talking about is a proposition where there are substantial revenues to be gained, and it's a very different business, I think, when you look 10 years ago and you see what was called lead-gen then, is very different today. What you are actually seeing today is advanced customer management on these platforms. And it's important to remember that lead-gen businesses are, although they are focused on the consumer, they are not actually consumer businesses, they're B2B businesses, because they generate their revenues from large financial institutions. And those large financial institutions are prepared to pay large sums of money to generate relevant traffic for them, which leads to an actionable event and integration of a customer. And that's exactly what we do in our core business. In fact, frankly, that's why we're one of the best in the world with this. We do this all time for institutions. All you're doing is using that capability and putting it to a different audience. And the audience is large, all right, and it's a very big marketplace. And we have a very strong brand and we generate tons of consumer traffic every month, just organically, millions of people coming to our site. And so that opportunity is available to us. And we have the capabilities and skill set to do it right, do it well and do it better than anybody else, so that's why we're going after it. Okay, we'll come to the front here with Paul.
Paul Sullivan: Yes, good morning, Paul Sullivan from Barclays. Just firstly on innovation, is it just a sort of a change of emphasis that you're talking about there? Or is there a real step change in what we'll see coming through organically over the next 12, 18, and two years at the company? And then secondly, going back to consumer, if we get through the end of this year or going through your first half numbers into the first quarter for next year, and we aren't seeing these products gain material traction. Is there a plan b for the consumer business?
Brian Cassin: I'll let Kerry comment on the innovation point and we'll come back to consumers.
Kerry Williams: Yes, so we've actually been spending quite a bit of time in the last couple of years on innovation in the company. I think what you're seeing is, we're now just starting to talk about what we've been doing publicly. We didn't get ahead of it, we decided to build it first and then start talking about it. And if you run through where we started, we really started from a technology perspective on our innovation. And we've spent a lot of time changing our model on technology from a federated model to one where we build things globally and can roll them out across the globe. And we created our -- we brought in a new head of our technology capabilities globally. And we've created a number of platforms that we've built over the last couple of years from our analytics platform. Getting back to the previous question where we launched it in the fourth quarter this year, we have clients live on it now, it has 15 years of full credit data and a real-time environment. We're leveraging a hybrid model between the web and our own capabilities. It's fully encrypted, it [indiscernible] with the data. It has the ability for the clients to use new visualization tools like Tableau. It has machine learning capabilities built into it like H2O and Python. And it is, by far in a way, architected and has more flexibility and capabilities for the clients than anything that's out there in the market. We've done that with a number of technology platforms, we built our consumer-facing platform in the U.S. market. We've gone live with it now in the UK market. We told you we would leverage what we've learned in the U.S. market to the UK market in terms of dealing with the consumer business, anything in order to turn that around. We built our API technology portal and strategy for our clients, the PowerCurve investments, the SaaS decisioning, that Brian referenced, and there's literally many more technology platforms that we've built, and now we are bringing those out to market, and we expect to get the results on those. So it's more that we're now starting to discuss them with you than any immediate change that we're experiencing.
Brian Cassin: And then on the consumer side, look, I think this is a real sort of short term versus long term kind of question, right? We're focused on building a business for a long term. And our view is not going to change based on what the results are quarter here, quarter there. We can't really judge because, I mean, the reactions of the products are going to be -- where we'll see what happens over the next couple of quarters as we put marketing behind it and then we calibrate. And we believe that fundamentally we've done, the market is moving more towards open access data for consumers. And you're going to see it in regulation in Europe, you're going to see it in the U.K, where you're going to have the portability of bank accounts now. So what does that mean? It means that strategic importance for data businesses like ours, do actually have direct relationships with consumers. Not important, not just from where do we stand as a B2B business, but important from a regulatory perspective, important from all sorts of different angles. We spend a lot of time on things like data accuracy but we're also put under a lot of regulatory scrutiny about things like that. And so for us to be able to engage with consumers goes far beyond just the revenue that we can generate from. It's strategically important for our business to have that relationship, and that's basic. The most important asset that we have as a business is consumer information on a billion consumers worldwide. And if we're not going to develop relationship with those consumers, I think that's a strategic risk in longer term for our business. So let's put the revenue to one side versus strategic ambition and the right to play, because I think the brand that we have in all of our markets gives us an absolutely front office right to play in that. And yes, we will have to recalibrate the business, we have to develop new products to get the revenue where we want it to be. But ultimately, we believe that if we are successful in building our relationships with large enough audiences, we will give -- that will give us plenty of opportunities. And we actually look at the other way around, right. I think we have 220 million people on our file in North America. We already have relationships with those consumers, we are important in their lives. A lot of them just don't know us, right. And now it's up to us to engage them in a way that actually adds value to them. And I think that's well within our capability. So that's what we're focused on. Okay, we'll go first here on the back of the row.
Tom Sykes: Tom Sykes from Deutsche Bank. Just wanted to ask a question about -- on your cost, it says your marketing and customer acquisition costs are down year on year, I think they're down about 7% to about 70 basis points. Was that more down year on year in the second half versus the first half? And perhaps you could explain that, please?
Brian Cassin: Lloyd?
Lloyd Pitchford: Yes, if you look back over the last few years, marketing costs have reduced fairly proportionately with the reduction in revenue, and that's what's we've been honing our marketing, using more digital marketing in the mix. I think, as we said it, Q3, we're expecting to launch our new products in the first quarter of this year, as rivalry pulled back a little bit on marketing through the third and fourth quarters as we wait for the new product launches. So it's in line with that plan.
Tom Sykes: And just on the health business within Credit Services, could you talk about the margin profile of that business as maybe the growth matures, as you get over some of the integrations, and you start to the adding to the base business you have in each institution, what happens to the margin, if growth were too slow in that business, please?
Brian Cassin: Well, we're not planning for growth to slow down, pressure is academic.
Lloyd Pitchford: We'll give it a go anyway, I mean the margin has progressed really well since we have acquired that business, it's accretive, strongly accretive to the group margin now. The question for margin as we look out is, how do we take that revenue cycle management business and innovate and really grow it into new services around in any different sectors? So this is in the different pieces of the health care market, and that will be a balance between investments and growth. So of the many we've got really strong margins accretive to the group, we'd expect to keep them there.
Tom Sykes: Did you, this year, see the margin itself go up in health as well as health going up as a proportion so that's benefiting the mix?
Lloyd Pitchford: Yes.
Tom Sykes: And the margins in health also, it went up.
Lloyd Pitchford: Yes.
Brian Cassin: I think we're going to go to the questions on the phone now.
Operator: The question on the phone is from Brett Huff from Stephens.
Brett Huff: I have two of them. One is a housekeeping question and wanted to make sure I heard you right. I think at the end of your comments, you mentioned that "progress" on Benchmark EPS in your mind meant double-digit pro forma EPS growth, did I hear that right? And if so, how does that mesh with kind of the stable margin guidance, is it just the buyback that's driving the distinction between those two numbers?
Lloyd Pitchford: So our guidance is good progress on Benchmark EPS. What Brian was referencing was our long-term financial framework, which is to take mid-single-digit organic growth and turn it into high single or double-digit EPS. So it's the difference between, Brett, the guidance for the year ahead and our long-term framework and aspiration.
Brett Huff: Okay, that's helpful. And then my second question is also a little bit related to consumer and a little bit related to B2B. I understand that you're focusing on the lead-gen business creating relationships with 9 million consumers, et cetera. And then those leads, they're converting, it sounds like at a higher rate than what is typical in the market now, I think you said 2X. But on the other hand, it also seems like some of the larger financial institutions both with you and other competitors have started working on more specific or financial institutions specific lead generation efforts. I think, example that you gave, I'm not sure if it relates to this, in the auto, geo location segment. So how do we think about lead gen that's more generic, if you will, that's generated by experian.com versus lead gen that is more specific in a program, sort of specific financial institution? And how do banks prefer between those 2? And how does that fit in your strategies?
Brian Cassin: So the tool work in tandem. The financial institutions have always had their own efforts to drive traffic to their own site and monetize that, that's a natural thing for them to do. They will never capture the entirety of the traffic out there, there's always a level of organic traffic which just goes to sites where they don't want to be captive to one institution. In fact, the LendingWorks solution, we're actually making available in -- on the B2B side of our business. So not only do we expect that to be a driver of revenue on the consumer side, we expect to get material revenues on from our business, B2B customers with that as well. And then, we've taken the view that it's a great solution, it's the best solution out there. It strengthens our relationship with them, we have existing strong relationships with those institutions and it can work just as well alongside the consumer offering. So yes, I mean, there may be a bit of noise in that, but I think, we're essentially playing that market from both sides. Okay, we'll take another question from the floor. We'll go to the back, there's Hector, I think.
Hector Forsythe: Hector Forsythe from Stifel. Quick one on the share buyback, the 600 million, I think if nothing else changes, keeps you firmly at the bottom end of the range. When you introduced the range about two, three years ago, you indicated that you could see yourselves drifting to the upper end of the range in time. You showed no movement towards the upper end of the range. Are you indicating them that the visibility, the pipeline for M&A in that? Or could that $600 million become higher as the year progresses?
Lloyd Pitchford: I think when we go into the year, clearly we take a view of what that pipeline is, and we make sure that we've got enough capacity to take advantage of opportunities as they come through. You saw us to expand the buyback of the half year last year when we made some of the disposals, so we formed those during the year. The pipeline is good for M&A. You've seen us make a number of earlier-stage investments just last year in addition to the CSIdentity acquisition. So I think it's a balanced approach to the capital allocation.
Hector Forsythe: Do you still stand by the view that you could drift towards the upper end of that range over time?
Lloyd Pitchford: It's a range, so we'll operate within it. And I'm not going to narrow the range to the upper end of it. If we see good opportunities for acquisitions, we'll take them. And we'll operate in that range.
Brian Cassin: Okay. I have a question at the front here from Matija.
Matija Gergolet: Matija Gergolet from Goldman Sachs. Two questions on my side, one on margin and one on Brazil. The first one on margin, over the last one, two years, you mentioned that you have some additional regulatory legal costs, I think, particularly in the U.S. Are those costs still in the base? Can we expect like a reduction in the coming years? Was that actually part of the nice improvement of margin you had in the U.S., if you can elaborate, please? Secondly on Brazil, if you can give us little bit of color on the regulatory developments, about the, how do you see it? And maybe about, some color about your early success in the consumer segment?
Brian Cassin: Okay, I'll ask Lloyd to touch on the margin point. One thing, I would say about the regulatory framework, there's a lot of talk about the regulatory framework changing, nothing has actually changed yet. So we're all hopeful, but we've got to wait and see. Do you want to comment on that?
Lloyd Pitchford: Yes, if you look at the legal and regulatory costs as a whole, there were a further drag during this year, less on North America, most were in the U.K. We went through the process of becoming authorized under the FCA regime. So you have to look at global legal and regulatory cost. I would say, with the CFPB regime, we've FCA regime under way, we'd expect them probably to stabilize, and from here not be a drag, but we're certainly not expecting them to go down.
Brian Cassin: And Kerry, you want tell [indiscernible].
Kerry Williams: Sure, so in Brazil, in terms of regulatory trends or issues, we've certainly seen an improvement in the direction of regulatory items in the states of Brazil and also at the federal level, and that's been driven really by the change in leadership in the government last year. And at this point in time, it looks like some time this year, they will move forward with positive data. The exact format of that is still not clear yet, it's kind of moving around, there are different parties that have different interests that are working with the government. We're heavily working with the government on moving the positive data legislation to a framework that will help the consumers and help the economy in Brazil. And so they seem very committed to moving forward with that and getting that in place. And we think that there is a pretty good chance it will happen this year.
Brian Cassin: The front here.
Kean Marden: It's Kean Marden from Jefferies. Would you mind sharing with us as you split CSID on the revenue bridge slide, the revenue number that you've plugged in for that chart, and maybe just go to some of the indication of how that business has traded since acquisition, firstly please?
Brian Cassin: So we acquired that business at the end of August last year, so it didn't contribute for a full year, I think, from memory, it was a little in the $80 million for the full year, I think is in the back of the release. It's progressing really well, particularly the cost synergies as we look at for this year, we'll be well ahead of our buy plan in FY'18, really driven by the cost synergies. And as you've seen really that acquisition is underpinned, the launch that we've made in our consumer business. And that proposition was not at the scale as fully in our buy plan, so we're expecting to well ahead this year.
Kean Marden: But you mentioned in the notes -- but you have mentioned in the slides, can you touch on IFRS 15, so just run through the, the sort of 15% revenue that is likely to be impacted by that and to what extent would be helpful to us?
Brian Cassin: Yes, mostly where we make software sales, the deliveries on commitments around the software sales, we don't expect it to be material for the group as a whole over a year but it might make a little bit more lumpy in the software business. We'll apply that from FY'19 onwards and restate the FY'18. And we'll probably take the opportunity, given that we've now disposed of the CCM business to just look at some other areas of our reporting and see if it's right, but we'll do that in one go rather than consider it in two steps.
Rajesh Kumar: Rajesh Kumar from HSBC. You're talking about ExPIN and new product launches in the U.S. where you can dynamically track for compliance and the things like that. ExPIN obviously would be very interesting if you could just elaborate on that? But on the U.S. regulatory issues, how have you overcome the hurdles? Are you taking in more risk in the contracts from your side? Or does the risk ultimately reside with the lender and you are providing software solutions to them? So how you've circumvented that problem? And following up on the Brazil point, people were asking about, what do you think your competitors, in terms of the banks who are trying to form something against you, are likely to do in the new regime, especially with the opt-out model giving you an advantage in the data collection process?
Brian Cassin: ExPIN, let me just explain, ExPIN is the pinning technology that we use in our bureau in the UK, and given that, that's the largest bureau with the most comprehensive set of consumer information. What we are able to do with ExPIN is actually link it to other assets in the customers' technology environment. So in other words, they can take customer information from everywhere in their enterprise and link it to ExPIN so they have a single customer view. But it's in the early stages, but actually it's quite an exciting development, so it's a holy grail. Most of the organizations have taken all over the place and getting a unified and single view of that, really depends on good pinning technology. So that's what ExPIN does, I think very helpful for us. On the regulatory side in the U.S., your question was around the quality of data or the exposure to regulation?
Rajesh Kumar: Selling live checking, live credit approval that people are applying online, yet a lot of compliance checks need to be done.
Brian Cassin: So maybe I'll ask Kerry to answer. But these are the big challenges when you introduce products like more balancing credit and digital marketing. The issue is being able to directly authenticate people, identify them and make a compliant offer of credit, that's why perhaps surprisingly, you haven't seen as much advancement in that part of the world as you have done in noncredit products. And that's what's really great about the products that we've introduced because we've solved those issues. And we're able to identify people to a sufficient level of accuracy and sufficient to satisfy the compliance organizations, not just ours, but also the institutions that we're dealing with, it's a pretty tough test, I have to tell you. It's also why, when we talk about these products, sometimes they take a little longer to get implemented because not because the product itself is doesn't generate a lot of excitement, it does. It's because the compliance departments take their time to make sure they're not going to make any mistakes with it. I'll give you a little snippet, I was at our Client Conference, a few weeks ago, in North America, called Vision, it's the industry leading conference, we have over 500 clients attended from every major institution in North America and globally. And we had about 100 people in the demonstration room for the mobile instant credit. And we're able to do a demo to everybody in the room and make a dummy offer of credit to them on their mobile phone. And at the end of it, we asked people to put their hands up to see who had been identified by name and had we got their correct credit score, if they knew it. And I'd say, 90% of the room put their hand up. And so the level of excitement in the room was huge. Now the compliance people are generally less excitable than business people, so not to denigrate them, but that's just a fact, so it does take a longer. But the best sticky issue, solving those problems is, and that's where you need the assets that we have, the bureau assets, the fraud assets, all of those capabilities coming together to give you a solution to a problem. Kerry?
Kerry Williams: I would just add to that, that these capabilities that we've built in the LendingWorks solution or the mobile credit offerings that we've created, they are following the same standards as what we've already operated on for decades, and issuing credit through the mailbox on behalf of lenders. So there's not been a deviation in terms of our risk appetite or compliance standards just to bring out a digital capability. It's to the same level of accuracy, and the same standards that the industry has operated under for decades. So we don't expect any issues there. On the Brazil issue, I can't and have no desire to comment on the competitors. What I will tell you is that because we now have over five million consumers positive data into our file, we're able to start doing our statistical modeling, and see what's going on. And what we know from positive data is that positive data is only a piece of the decisioning and analytics data flow that's necessary to provide the best decision in the marketplace. And we've been able to see that all of the other data assets that we have in Serasa Experian in Brazil, combined with positive data, is going to give us a unique advantage. And so the faster the positive data gets here, the happier we are.
Brian Cassin: And maybe I'll just add one final point on that. We referenced in our discussion on the Brazil region, we've signed 3 of the 5 major banks on new long-term contracts, now share of spend with those banks has increased materially during FY '17. So I think that will tell you enough about our competitive position right there.
Lloyd Pitchford: Just to add it to come back on the question, $59 million was the post acquisition revenue in the back.
Brian Cassin: We'll get a question at the front, waiting patiently.
Nichol Grense: It's Nichol Grense from Merrill Lynch. Two please, the first one is just on the IdentityWorks products in the U.S. There's been a few issues with competitive products, which have been accused of, kind of, not providing a sufficient degree of protection for consumers, I'm just wondering how your product is differentiated and what degree of risk you might be taking of recourse that could be for consumers? And the second question is just on margin progression. You talked about scaling the business geographically and by vertical. Obviously, currently the focus has been on innovation, and that is somewhat at odds from driving operating leverage out of the business. Just wondering what the dynamics of that should be going forward? Have we had a big investment push that now might drive the margin expansion? Or is it the innovation spend just business as usual going forward?
Brian Cassin: Okay, well, maybe combination of Kerry and I can answer the first question and then. That's one of the things at Experian, we generally have great product capabilities and we generally don't hype our products. Other people tend to -- some people in the marketplace do hype products ahead of capabilities. There have been some issues in the identity market in the past largely because I think, people have been making product claims that don't exist. So for example, charging people multi subscriptions for products that they said they were providing to them but actually they weren't. So our products are very clear as to what they're doing. And all of the capabilities are there. And frankly, they are more comprehensive than anything else that's out there. So I don't think that we're worried about that as we go forward. Kerry?
Kerry Williams: Yes, I think the way to think about it is that these capabilities that we're rolling out are just particular items in our overall relationship that we're developing with the consumers. And the overall relationship, which is going to provide many opportunities for many years to come has to be built on trust. It has to be built on our ability to deliver at a minimum what we say we're going to deliver. And creating that trust in that relationship with 1 billion consumers across the globe, trust is a fundamental element of what we're trying to do. And so each of our products that we bring out to them are absolutely set out to deliver on the capabilities, and not to get ahead with any marketing messages that might not match up with the capabilities.
Brian Cassin: On margin, I would say, we've got a lot of opportunities to invest in innovation, and investing in innovation is just a part of our business as usual for us. And some of the investments we've been making in our technology platform, it's how we're reducing our operating cost in that area, that just creates additional capacity for us to fund growth investments. So this is why we give margin guidance for one year ahead, it really then, it depends on that mix of the investment versus return in the portfolio.
Nichol Grense: And perhaps just one quick follow-up on the ID protection point. If I were a consumer that had your product live in the U.S., and my ID was stolen, what level of kind of recourse do I have on, obviously insurance elements of that, I suppose, what are the risks of the Experian brand of offering that product?
Brian Cassin: I don't think that there's, I mean, there's always risks to brand when you're dealing in the consumer marketplace. But as Kerry said, as long as we communicate effectively what the product is actually designed to do and consumers understand that, that's the best protection that you have. The insurance product itself is actually geared towards helping them resolve the issues in their lives, sort of, have a reason as a result of identity theft, not actually anything that the product has done. Because the product is not there to protect you from being having your identity stolen. It is there as a way to resolve issues and help you monitor what's happening to you. And your identity gets stolen through the actions of bad actors that have access to it, mostly different places. I think you've got to put it in context of what we are providing and clear communication to consumers. And it's proven that consumers have a real appetite for these products and we think that's growing.
Nichol Grense: Thank you so much. 